Operator: Good day and welcome to the Cineplex Inc. Q4 and Year End 2020 Analyst Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Melissa Pressacco, Senior Manager, Investor Relations and Communication. Please go ahead, Ms. Pressacco.
Melissa Pressacco: Thank you, Kevin. Good morning and welcome to Cineplex's fourth quarter and year end 2020 conference call. With me today is Ellis Jacob, our President and Chief Executive Officer, and Gord Nelson, our Chief Financial Officer. Before I turn the call over to Ellis, let me remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include, among other things, the negative impacts of the COVID-19 pandemic, adverse factors generally encountered in the film exhibition industry, risks associated with other national and world events, and discovery of undisclosed material liabilities, and general economic conditions. Following today’s remarks, we will close the call with our customary question-and-answer period. I will now turn the call over to Ellis Jacob.
Ellis Jacob: Thank you, Melissa. Good morning and welcome to our Q4 and year end 2020 conference call. We are glad you could join us today. Let me start by saying, I hope you and your families are well and staying healthy. This has truly been a time like no other in the history of our company. The impact of COVID-19 has been widespread and dramatically affected so many industries, but specifically entertainment and movie exhibitions. Which is why it won't come as a surprise that Cineplex experienced declines in our year-over-year results. Given our mandated temporary closures, capacity restrictions, and the shifts in the firm release late, our results will significantly impacted. What I would like to focus the discussion on today, it's how we responded to the impacts of COVID-19 and laid the groundwork for an upward trajectory over the long-term. I want you to leave today's call knowing that we are on a path to a stronger, more successful organization. Over the past year, we adapted with agility and created a leaner more resilient, Cineplex. We scrutinized our business divisions, analyze our structures and challenged every assumption, all in an effort to streamline our operations and more importantly, improve our profitability in the long-term. In short, we use this time as an opportunity. We kept a strategic look at the structure of our business divisions, out partnerships and programs, and made some tough but necessary decisions to reduce overheads, operating expenses and capital commitments. We realigned and streamline our corporate and divisional operating structures to improve efficiencies. We also terminated our partnership with Softball and canceled a number of capital projects recognizing that this isn't the time to invest in large development projects. The end of 2020 also saw the conclusion of our partnership with TimePlay, as well as the final issue of Cineplex magazine, which we released in December. By moving away from the printed magazine, we're able to focus on what we know our clients are looking for, digital, scalable ways of reaching their customers. As Canadians will focus to stay at home, we turned our focus to our digital movie platform, the Cineplex Store, which experienced significant growth last year, with a massive 39% increase in registered users from the prior to 1.9 million total users. The Cineplex Store, which is a key differentiator for us from our peers, benefited from a number of premium video on demand releases during the year, offering guests a chance to view exclusive content directly in their homes. The Cineplex Store also provided us the opportunity to meaningfully engage with our guests through our digital platforms, while our theaters are closed. Like us, our studio partners also used this time to test different film release model. To be clear, there isn't a one size fits all window for all phones and all studios. In my discussions with the major studios, the mutual goal is to protect the theatrical window, especially for blockbusters and titled forecasted to perform well at the box office. Studios recognized that the theatrical release is critical to the financial success of tenfold [ph] film, as it generates the highest percentage of worldwide revenues for the film. It also generates media and consumer interest for sequels and other downstream revenue opportunities. As the industry evolves, there will be more ways to maximize revenue for ourselves and the studios moving forward. In fact, this is already the case. In November, we announced the dynamic window agreement with Universal that will preserve the theatrical experience, while adapting to changing consumer behavior. As the industry navigate the effects of the COVID-19 pandemic, discussions like this are of the utmost importance, and we will continue to have them with other studios and content producers. These types of partnerships makes more content available, which benefits our guests when it comes to film offerings and rich entertainment experiences. While Gord will provide a more fulsome financial update in a moment, in 2020 we remain laser-focused on minimizing cash burn, extracting value from all of our assets and adding the necessary liquidity. We did this to provide ample runway for our recovery period and beyond. We significantly reduced capital expenditures and our two primary operating costs payroll and lease costs. During mandated closure periods, we temporarily laid off our part time field workforce, our full time employees to voluntarily temporary salary reductions, and we realigned and consolidated our corporate teams, eliminating 130 roles across the Cineplex ecosystem. We also benefited from approximately $57 million in wage subsidies, primarily through the CEWS program, and work with our landlord partners to obtain relief that reduced cash rent being paid in 2020, subsequent to the lockdown. So the second wave of COVID-19, resulting in another round of widespread temporary closures in late 2020 and into 2021, we were please to hear that the CEWS program has been extended to June of 2021. As I mentioned, we work closely with our landlords for rental lease reducing net cash lease outflows in 2020, and have continued discussions with our landlords on further relief into 2021. Cineplex has a unique suite of assets like no other exhibitor in North America, allowing us to extract additional value and strengthen our financial position beyond the current pandemic environment. A key example of this was in the fourth quarter when we entered into an agreement to enhance and expand the SCENE Loyalty Program, receiving $60 million from Scotiabank. We also recently completed a sale leaseback of our head office in Toronto for $57 million. Subsequent to year end, we obtained further relief under our credit facilities and have been engaged BMO Capital Markets and Scotiabank on a proposed private placement offering of second lien secured notes, which Gord will go into more detail shortly. We will also explore other measures to maintain adequate liquidity, but these are just some of the examples of the value extraction I mentioned earlier. It will be strategic actions like these that will see us through the pandemic recovery period, as vaccines are rolled out, restrictions are lifted, and a return to normalcy begins. Although the pandemic has lasted longer than any of us initially expected, we know that the Exhibition, Amusement and Leisure industries will recover. The box office numbers coming out of countries where theaters are permitted to operate like Japan, China and Australia have exceeded expectations. In Japan, the Anime Films Demon Slayer, which opened late last year went on to become the highest grossing film ever. We are also reassured by recent survey data from Abacus Data that puts moviegoing as the most missed in-person activity among Canadians. We know our guest will be looking for safe and affordable out-of-home entertainment experiences coming out of the pandemic. And our focus is how best to leverage and capitalize on this desire. Health and safety are of course top of mind in everything we do, which is why we have implemented industry-leading operating procedures focused on the health, safety and well-being of our employees and guests. I want to reiterate there remains no claim of COVID-19 transmission in a cinema to date globally. As a worldwide industry, we are all focused on the safety of our guests and we'll continue to do so. With the vaccine roll out under way, our team is looking forward to safely reopen the rest of theatres and entertainment venues across Canada. And we anticipate a return to more normal operating conditions later this spring. We've all been cooped up for a long time and are longing to come back together as a community and take part in social experiences. That desire combined with the build up of strong film content report this year and next means there's a lot to look forward to. Just to name a few films sheduled for this year, we have Godzilla versus Kong, Black Widow, Fast and Furious 9, Cruella [ph] PETER RABBIT 2, THE RUNAWAY, Venom: Let There Be Carnage, Minions: The Rise Of Gru, Top Gun Maverick, A Quiet Place: Part II. No Time to Die, Mission Impossible 7, Spider-Man: Far From Home sequel, Website Story [ph] and the Matrix 4. When I think about the pent-up demand for the theatrical experience, the backlog of film releases and all the social experiences which have been restricted for almost a year, I'm confident that as our locations reopen, our guests will be there and we are ready for them. We are positioned well for the group that is to come. Before I turn things over the Gord, I want to take a moment to recognize the unwavering commitment and hard work of our employees. When I look back on the last year, I'm extremely proud of our team's focus, agility and willingness to make sacrifices, as we work together towards everything we accomplish. I also want to thank our Board of Directors for their ongoing support and sound advice during these unprecedented times. We have fortified the financial position of our company, secured the money we need to see it through and developed a gold standard and health and safety protocols to safely welcome our guests back. The bottom line is that Cineplex will make it through this tough time, the pandemic expedited parts of our future plans to become a leaner, more agile company and prompted visits that were already on the roadmap. We remain confident in our strategy and will continue to take all necessary actions to ensure Cineplex not only survived the pandemic, but thrive for years to come. With that, I will pass the call over to Gord.
Gord Nelson: Thanks, Ellis. I am pleased to present the condensed summary of the fourth quarter results for Cineplex Inc. and to provide additional detail on the ongoing financial impacts of COVID-19 on our operations. For your further reference, our financial statements and MD&A have been filed on SEDAR. They are also available on our Investor Relations website at cineplex.com. Our MD&A and earnings press release includes a fulsome narrative on the operational results, so I will focus on highlighting and quantifying some of the key items including commentaries on cost control, some accounting matters, liquidity initiatives, and outlook. The COVID-19 pandemic continued to have a material negative impact on all aspects of Cineplex’ core businesses resulting in material decreases in revenue results of operations and cash flows compared to the fourth of 2020. As a result, we continue to focus on cost control and liquidity. With respect to cost control, I want to provide some additional details on our largest fixed and semi-fixed costs, our lease costs, and our payroll expenses. Lease costs are our largest fixed costs. Throughout 2020, we maintained strong communication channels with our landlord partners in identifying opportunities for relief during these unprecedented times. Our focus has been on working with them to identify opportunities for abatements during the closure period, and to jointly look for other opportunities under our existing lease agreements. During the 2020 period, we were able to materially reduce net cash lease outflows by approximately $73 million, which includes approximately $52 million in lease savings and $21 million as a result of the sale of certain restrictive rights to landlords. Of the total approximately $15 million was reflected in Q4. We continue to work with their landlord partners to provide additional relief during 2021, as a result of the second wave of closures. Payroll is our largest semi-fixed costs, with the mandated closure; we immediately initiated temporary layoffs and reduced full-time employee salaries across the board by agreement with the employees. We reviewed and applied for government subsidy programs where available, including the Canada Emergency Wage Subsidy. During Q4, we benefited from approximately $14.3 million in subsidies primarily under this program and we were able to materially reduce our theater payroll to approximately $5.2 million in the fourth quarter of 2020 from approximately $41.9 million in the prior year quarter. We are encouraged that the CEWS program has been extended through to June 2020, with enhanced participation and availability in the first quarter of 2020 [ph]. In July, the company initiated a restructuring process, which will resulted in the elimination of approximately 130 roles for an annualized savings of approximately $12 million. So approximately half of the savings relates to G&A and other half relates to OpEx savings in the various businesses. During Q4, the company recorded an additional $2.4 million in restructuring expenses related to this initiative.  With respect to other supplier partners and expense control, we put in place immediate expense in CapEx curtailment programs during the closure period and work with our supplier partners to provide elements of relief including eliminating or reducing amounts due for contractual monthly services, in addition to payment deferrals and abatements. You can continue to see the benefits of these initiatives and the substantial cost reductions in a number of our controllable cost categories. In addition, we continue to monitor other subsidy and relief programs which could benefit Cineplex. With all the actions previously described, we were able to achieve cash burn rate of approximately $20 million per month for the period from Q2 through Q4 2020.capital. I’d now like to discuss select accounting impacts during the fourth quarter. We recorded total impairment charges of $56.2 million in Q4. Additional impairment charges primarily arose because of the second wave of impact of COVID-19 in the winter of 2020 and the resulting delayed timing on the assumed recovery to normality. In addition, we have a delinquent [ph] concern note in our financial statements, as we have a bank waiver, which is conditional on satisfying certain requirements based on a future events that proposed debt offering, which has now commenced subsequent to the filing of the financial statements. I now like to focus on some of our liquidity initiatives. During the fourth quarter Cineplex announced that it had received $60 million from its partner Scotiabank to enhance and expand the SCENE Loyalty Programming, including an agreement to reorganize the program and position it for future group growth. In conjunction with this agreement, Cineplex’s interest in the operations of SCENE was reduced to 33.3%. Cineplex will continue to be responsible for 50% of the economic benefits and obligations until specific non-financial milestones are met, resulting in the deferral of the recognized recognition of the proceeds and any related gain or loss until that time. Also during Q4, we entered into the Second Credit Agreement Amendment with our bank Syndicate on November 12th. This amendment extended the suspension of financial covenant testing until the second quarter of 2021, but provided for a monthly liquidity test until the financial covenants are introduced. Subsequent to year end, we entered into the Third Credit Agreement Amendment, which we announced earlier this week. As Ellis mentioned, we advanced the sales process related to our head office in Yonge Street [ph] buildings and in early January 2021 completed a sale leaseback transaction for gross proceeds of $57 million. We also recognized the benefit of our ability to carry back our 2020 tax losses three years and claim a refund of taxes paid during these periods. We completed our 2020 tax returns for select entities in January 2021 and have filed for approximately $66.2 million in tax refunds, which are included as a current assets, income taxes receivable on the year end balance sheet. As I mentioned this past week, we announced the third amendment to our credit facility which provides for the continued suspension of financial covenant testing until the fourth quarter of 2021, upon certain conditions being met, including the completion of a minimum $200 million financing by the company is a second lien secured notes on our prior to March 31 2021 with a maturity of at least 5 years. Of these proceeds $100 million will constitute a permanent repayment of our credit facilities. As at year end, we had approximately $154 million in availability under our credit facilities. Adjusting solely for the head office sale, a pending tax refunds and they proposed $250 million second lien secured note offering, none of the required permanent pay downs and expenses of the offering, our pro forma availability would be approximately $392 million. With our continued focus on cash burn and liquidity, we believe we will have positioned the company well to handle any further uncertainties throughout 2021 and into 2022. As we look ahead, we see positive news and confidence on new vaccines and rollouts, we see pent-up consumer demand and we see a backlog of film titles supplied - to supply the market on reopening. We continue to focus on the reopening of our business, businesses and continuing to explore further opportunities for cost reduction and value creation. That concludes our remarks for this morning. And we'd now like to turn the call over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Derek Lessard of TD Securities.
Derek Lessard: Yeah. Good morning, everybody. And hope you're all well and safe as well. Just one question for me. Maybe Gord, if you could just talk about the drivers behind the small increase in monthly cash burn? And maybe what we should be modeling going forward?
Gord Nelson: Sure. Sure, Derek. So look at the - for the fourth quarter, the cash burn was roughly $25 million, and was under 20 in Q2 and Q3, and the three quarter average was $20 million, which was relatively in line with, you know, what we had suggested when we initially went into the pandemic. There are a number of variables and key drivers in what ends up being the result in that, you know, average monthly cash burn in any period, I tried to provide some color on our largest fixed costs, and semi-fixed costs. So, the largest drivers tend to be our lease costs and our payroll costs. And so our focus in that area, and let’s take them each one on, is typically abatements, and looking at lease rights and the ability to extract value on lease rights, with respect to our lease costs. As we went through the initial period of shutdown, there's an expectation that as - and in our discussions, in our conversations with our landlord partners, is, you know, that the economic and the environment, post-COVID, COVID-19, would there would be a recovery commenced in the fourth quarter of 2020. As you're all aware, the second wave came in a little bit stronger, I think that people had initially anticipated. So we were able to extract very strong relief from our landlords in Q2 and Q3. And while we were closed, and when there was that expectation of recovery, there was a less - lesser operation opportunity for maintenance [ph]. As we look forward, though, what we see is that a mandated closure period that we're just coming out of right now, is that the opportunities both from a landlord conversation perspective, but also more important probably, there have been some new relief programs that have been introduced by the government, which we've been able to participate in. So they can - the Serb [ph] program is one, is one that we will extract – be able to extract some benefit from in Q4. So, we see, as we look forward, that we continue to pull the weavers on rent abatement's. We still see interest on, you know, extracting value through some of the lease rights transactions. We've executed with $21 million of value for those types of transactions in 2020. So we see additional interest on potentially unlocking value from those. And coming out of the closure period, obviously, you know, that provides a little bit of support from our landlord partners to provide some additional maintenance there. On the payroll side of things, again, the government, the Canada Emergency Wage program, typically, the quantum’s [ph] and the mechanics of the program are announced in advance of the quarter. And again, there was an expectation that we would be moving into a gradual recovery phase in Q4. And as such, the government calculated of the wage subsidy program started to diminish over time. So from Q2 to Q3 to Q4, on an expected recovery basis, the wage subsidy program was less rich. Now, as we look into Q1, the government has recognized and recognized earlier obviously, that the ongoing impacts of COVID on, an impact on affected businesses has continued and has now become more severe. So the benefits of the wage subsidy program actually improved for the first quarter of 2021. And, you know, at this point of the calculator, and the mechanics have not been announced for the second quarter, and presumably on the assumption that they're looking more into what's the visibility on what the recovery may or may not look like before they set the calculator installed [ph]. So, you know, you're getting a lot of movement and so, if you work from quarter-to-quarter, as we extract value into certain transactions, you can get some lumpiness. I would though suggest that our ability to pull on all weavers you know, we really extracted and for Q2 and Q3 we really focused and there are certain weaver's we may not be able to pull on to the full extent. And, you know, that the Q4 level of cash burn is probably the more appropriate one to think of going forward.
Derek Lessard: Thanks for all that color Gord and its really helpful. That’s it from me.
Operator: Our next question comes from Jeff Fan of Scotiabank.
Jeff Fan: Hi. Good morning, Gord and Ellis. I hope you guys are doing well. A couple of questions. First is just as you kind of look out with respect to the recovery in Canada compared to the US, there's just some dynamics that are kind of happening in that some other changed over the last six months or so. When you look at look at Canada, like the percentage of population vaccinated is really falling behind the US. So could we foresee a situation where the US film slate, such again [ph] again, leaves the US theaters that reopen, whereas Canada's kind of still stuck in this kind of No Man's state and without reopening, what happened to how the studios will deal with their Canadian leases? I'm just trying to get some color as to how those conversations have gone. And then the second question is just on additional financing options. At what stage do you think you may need to pursue other means [ph] and what some of those areas maybe? Thanks a lot.
Ellis Jacob: Thanks, Jeff. And going to the positioning in North America, between the US and Canada, as we saw in 2020, when Tennant was released, it was actually released in Canada before the US based on the conditions at that particular point in time. Now, yes, the US there are being people vaccinated a lot faster. The difference is the number of cases in the US are significantly higher than those in Canada. And there is possibilities and you know, in discussions with our peers, that parts of the US that were locked down like California and New York, certain parts of California will start to reopen, and also parts of New York will reopen, which may cause the studios to decide to start releasing the film. If that does happen, I think you're looking probably in the period of April, May, June timeframe. And what would then take place is there would be a huge backlog for Cineplex for these movies moving into the future. And I think that will provide us with a great start-up as we ramp up in different provinces, because we have been opened in certain provinces, you know, up and down through the last number of quarters, and that we will think will continue. But the film slate is very deep. And we feel it will put us in a great position once we get reopened, as long as the gap between the US and Canada is not too significant. For the financial question, I'll turn it over for Gord.
Gord Nelson: Yeah. Thanks, Ellis. So on financing options. So Jeff, you know, we were pleased earlier at this week, you know, to announce the credit facility amendments, as well, as you know, exploring the high-yield offering. This has been an area of focus for us for probably the last two months or so at least, we've always wanted to broaden out our capital structure. We know there is demand [ph] from high yield investors. You know, the movie exhibition produces, you know, large, once it's up and return to normality produces a lot of significant free cash flow, and if we're removed, you know, a number of outflows, you know, from our business model, including, you know, roughly $100 million, just over $100 million in dividends, which we have historically paid, as well as reducing our near term CapEx from about $150 million to $50 million. So, you know, there's $200 million of sort of external outflows that looks - that we are taken out of the system in the short term. So it had always been attractive to us to kind of run up that capital structure. And given the environment that we're in today, particularly economic environment, high yield market, the timing worked well for us to explore and move forward with this. So we're excited to do that. And with this offering, as I had said in my notes earlier, you know, our availability and our blockiness - our liquidity availability pro forma that’s offering in some of the other sales, you know, the Q1 events that I mentioned, the tax refund and the building sale. You know, we're just under, you know, right around $400 million liquidity availability, you've looked at that recent cash burn in Q4 for as an example. And, you know, I think you can share, you know, our comfort and our confidence that this round will put the company in a great position, well through 2021 and into 2022. So, so with that said, I would suggest that, there's no real - we believe short term requirement to look at any other financing options. But with that said, is, you know, we have a number of - you know, we're always looking where if there are opportunities to extract value, so we think in the short term, there's a true value creation opportunity that results in a liquidity event, we will explore, but as I described to you and the numbers that I just provided to you, we don't believe we really need to do anything in thrift [ph] 
Jeff Fan: Thanks.
Operator: Our next question comes from Adam Shine of National Bank Finance.
Adam Shine: Hello. Good morning. In terms of - one for Gord, one for Ellis. Just in terms of the confident Gorge [ph] will we push this out to Q4? Is it similar to what we've seen perhaps in the prior wafers, is it…
Gord Nelson: Yeah. Everything's just kind of shifted out. So four times Q4…
Adam Shine: Okay, perfect. Thanks. Maybe for you Ellis, acknowledging obviously, that the CapEx spend has been curtailed to that I think $60 million mark. Have you been doing a bunch of things in the theaters? Has there been perhaps a bit more in regards to required or installations or perhaps any other activities as a - as a gear up to, you know, what's actually patrons coming back into the theaters?
Ellis Jacob: Given the situation, Adam, there's only been a limited amount of recliner installations that we've done. We continue to look at technology and ways to improve the experience for our guests. And that is something we will, you know, focus on. And we'll wait, as we come back to market, as to what we make sure that the guests have, which is a great, you know, experience where they feel totally comfortable and at ease in our facilities.
Adam Shine: Okay. I’ll leave it there. Thanks.
Operator: Our next question comes from Aravinda Galappatthige of Canaccord Genuity.
Aravinda Galappatthige: Good morning. Thanks for taking my question. So hope you both well. One for Gord and one for Ellis. Ellis, more big picture question. Can you sort of characterize the conversations that you're having with studios nowadays? You know, in the backdrop of the Universal arrangement that you've announced and some of the trends that we've seen, from Warner and Disney, obviously different from one to the other? What sort of feedback are you getting from the studios? And are there any prospects, at least at the outset of some sort of concession on the film cost side of things that would sort of help out the, the, the executives? And for Gord, just following up on your answer to the first question, obviously, you know, forecasting that variance between EBITDA and EBITDA, which is predominantly the cash or NPS is sort of difficult on a quarterly basis. Should we assume based on your answer that sort of the Q4 variance or the Q4 Delta, which is sort of $30 million, $33 million, that's probably the right number to reasonably use going forward, given that we don't know what sort of the outcome of the - your conversations with the landlords are> Thank you.
Ellis Jacob: Aravinda, on your first question as it relates to the theatrical relationship with our studio partners. We continue to work very closely with them. And a lot of things that we are doing are basically driven by the fact that we are in the middle of COVID. And for example, with Wonder Woman, we worked out a deal where we played it in the cinemas, but we also played it in the Cineplex Store, on a premium VOD, format and did extremely well where it was settling in the store handle also in the theaters that were open. But there were limited theaters that were open. So we are trying to balance the two. And we'll continue to do that, until we see it the other side. But I feel and I know our partners feel that the theatrical a window is an important part of the overall box office that we can garner from the film, both in Canada and around the world. So we will continue to be doing that. And on the big films that will continue to take place. With the, you know, one size fits all, we continue to work with other, you know, creators of content to see what we can do that makes the most sense, going forward into 2021, and 2022. So we can provide our guests with the most amount of content on the big screen with all of the facilities that they have.
Gord Nelson: And then on the second question, Aravinda, you know, the one thing that's somewhat tricky, and there's a lot of moving parts, obviously, is, we're always in discussions with our landlord partners. And abatements, which may extend over a period of time, that's not until we actually, you know, agree and paper in agreement and sign off on both sides that we can reflected in the accounting [ph] records. So there may be things that I would suggest that are going on right now that are activities that are going to add benefit that may not necessarily, you know, be fully reflected. But with that said is I think my commentary is that, you know, that the landlord ability to provide relief, you know, is not there forever. And, you know, as that drops off a bit, it's what we're seeing as the government step in and pick up and provide some other forms of relief. So, you know, probably Q4 is a better indicator than some of the earlier quarters where we're getting significant amounts of relief. And the only other thing I want to add to that is, you know, we've chatted about, you know, looking at extracting value from our lease rights. And when we look at extracting value from our lease rights, that doesn't end up EBITDA, EBITDA versus EBITDA. So that's something that becomes kind of a proceeds or a gain, even, you know, it's not detrimental to the operating results of our company. So there's interest on more items related to those too, that don't come into play without question, but its definitely a cash savings.
Aravinda Galappatthige: Okay, that's, that's helpful. Thanks. I'll pass the line.
Operator: [Operator Instructions] Our next question today comes from Tim Casey of BMO.
Tim Casey: Thanks. Couple from me. One for Gord and a couple for Ellis. Gord, just on your efforts to monetize these lease rates, can you just walk us through, you know, what's in it for the landlord? Like I - we can obviously see the benefits of you getting some cash, but what's in it for them? And then, Ellis for you, as you think about reopening and back to normal, I am just wondering if we should think about a smaller platform in both the theater and the reference side and just wondering if you - if you think it's in your best interest to close some theatres that may have been, you know, performing less well than others and when you contemplate reopening, they may just be in your best interest to move on from them. And as well as Rec Room. I know that with your revised CapEx plans, you're not doing any new builds, you're finishing stuff that was that was in place, do you still have longer term aspirations to grow that business in terms of sites to what you had articulated pre COVID or are you kind of rethinking that in any way? Thanks.
Gord Nelson: Thanks, Tim. And so I’ll take your first question, and I always like to provide a hypothetical example in a scenario just to mention really understand and from people have provided us to I think it really helps them understand what these are. So you know, we're typically imagine a theater on a pad. You know, when there's a number of parking lots and there may be some businesses on the periphery in those parking lots. But there's a couple of restaurants that may be a bank. And, you know, another small retail store. And under our lease, the landlord would be restricted on maintaining a certain number of parking spaces, as well as you know, the type of facilities that could be in those occupied buildings. So imagine a scenario where, you know, within 10 years later, 15 years later, the transit hub has grown. And now, from the landlord's perspective, the highest and best use of that space is not having a couple of restaurants, you know, on that pad, maybe it's building a condo [ph] or something like that. But they're restricted from doing that, and monetizing the value of their site, because of the rights that we have in the lease. So we would then go back to them and say, okay, you know, there's something that's going to be a real value creation for you. You can't do it. But, you know, let's negotiate, and let's see what can happen. And so those are the types of activities. So it's not it impacting at all, the economics of what we're paying under a lease, it's not impacting them at all, our building on the property. And what it is, its providing the landlord some additional flexibility in what they can do on the site. And that's the benefit to them.
Ellis Jacob: Thank you, Gord. On the other questions that you are on the theater closures, again, we are being opportunistic, and we would basically say there would be limited closures, we would look at situations where the lease was coming up. And we've got two theaters in close proximity to each other. And one is state of the art and one isn't. So we would basically look at those positionings and make sure we are making the right decision from an overall cash flow moving forward. And to me that I find it very, very important as we focus on the theater portfolio for the future. On the LPE, you know, we will continue to look at that business and grow it, but on a much more limited dates depending on how quickly we are out of the pandemic, because we still believe in the business. And we feel that, you know, Canadians between the movie theaters between our location based entertainment venues, basically will be happy and we can capture their entertainment dollars as the as we move forward. But again, we will probably slow the pace down depending on what the situation is, from a vaccine perspective and form an overall return to the Rec Room, and where we have been open in the Rec Rooms during the pandemic, we have seen some strong and meaningful results. So as we move forward, we feel that that will continue. Once things get back to normal. And our guests feel more comfortable about the experience and environment.
Gord Nelson: Yeah, just thought could add to that too is. You know, obviously, the pandemic is like accelerated, like, the massive disruption in the retail landscape is occurring globally. And, you know, the future of retail will include, you know, food and beverage and entertainment being the anchors of retail destinations the future. So as we go through this transition and evolution, which is now sped up, you know, it's probably better for us to cloth and there may be better value opportunities for us that come out, you know, as a result of this disruption that's going on. So they'll set we continue. We're focused on it, we're committed to it. No pause, will complete the ones that we're doing, but there may be better opportunities, better sites better value opportunities for us in the future.
Tim Casey: Thanks for that.
Operator: As there are no further questions, I would like to pass the call to Ellis Jacob for any additional or closing remarks.
Ellis Jacob: Thank you all for joining us this morning. As you heard today, we have adapted with agility to create a leaner, more resilient organization, minimize our cash burns, and added the liquidity we need to see up through. We use this opportunity to become a stronger well positioned and ultimately most successful organization. I am confident in Cineplexe’s and the industry's ability to recover and look forward to welcoming our guests back to our theatres and entertainment venues as soon as we're able to do so. We look forward to speaking with you again in May for our first quarter results. Until then please take care and be well. Thank you very, very much.
Operator: Ladies and gentlemen, that concludes today's conference call. We thank you for your participation. You may now disconnect.